Operator: Good day, ladies and gentlemen, and welcome to the NOV Fourth Quarter 2020 Earnings Conference Call. [Operator Instructions] I would now like to introduce your host for today's conference, Mr. Blake McCarthy, Vice President of Corporate Development and Investor Relations. Sir, you may begin.
Blake McCarthy: Welcome everyone to NOV's Fourth Quarter 2020 Earnings Conference Call. With me today are Clay Williams, our Chairman, President and CEO; and Jose Bayardo, our Senior Vice President and CFO. Before we begin, I would like to remind you that some of today's comments are forward-looking statements within the meaning of the Federal Securities Laws. They involve risks and uncertainty, and actual results may differ materially. No one should assume these forward-looking statements remain valid later in the quarter or later in the year. For a more detailed discussion of the major risk factors affecting our business, please refer to the latest Forms 10-K and 10-Q filed with the Securities and Exchange Commission. Our comments also include non-GAAP measures. Reconciliations to the nearest corresponding GAAP measures are in our earnings release available on our website. On a U.S. GAAP basis for the fourth quarter of 2020, NOV reported revenues of $1.33 billion and a net loss of $347 million. Our use of the term EBITDA throughout this morning's call corresponds with the term adjusted EBITDA as defined in our earnings release. Later in the call, we will host a question-and-answer session. Please limit yourself to one question and one follow-up to permit more participation. Now, let me turn the call over to Clay.
Clay Williams: Thank you, Blake. The fourth quarter of 2020 was an extraordinarily difficult quarter for NOV and unfortunately, we expect to continue to struggle through the next quarter, too, until the world gets past the wreckage of COVID. Consolidated revenue declined 4% sequentially and EBITDA fell to $17 million or 1.3% of sales in the fourth quarter. This performance was particularly disappointing in view of the massive cost-out efforts the company enacted last year, indeed throughout the last six years. The COVID lockdowns we faced off and on throughout 2020 continue to hinder our operations and those of our customers. Against weak demand for services, low and falling day rates and significantly reduced cash flows, our oilfield service customers have deferred maintenance, cannibalized equipment and drawn down stocks of consumables. Against weak and uncertain commodity prices, OPEC+ production cuts and lower cash flows, our E&P customers have cut rigs and slow-rolled project approvals. The offshore rig count was down 37% from the fourth quarter of 2019 and the international rig count was down 40% year-over-year. Although North America drilling has been improving since bottoming in August, it is still down 58% compared to the prior year which, by the way, wasn't exactly a robust oil and gas market either. This continues to be a historically bad downturn in an industry that has a lot of experience weathering very, very tough times. Against this backdrop, our equipment orders have been scarce. While we were pleased to see Rig Technologies reported book-to-bill above one in the fourth quarter, that is the only book-to-bill NOV saw above 100% throughout 2020. Outside of North America, momentum slowed through the fourth quarter with additional COVID lockdowns, continued project approval delays by customers and slowing activity in places like Russia, the Middle East and offshore. All three of our segments saw the majority of their revenue come from markets outside North America: 59% for Wellbore Technologies, 67% for Completion & Production Solutions, and 90% for Rig Technologies. All three rely on capital and consumable sales which, to varying degrees, tend to be later cycle businesses. While Wellbore Technologies tends to be a little more closely tied to real-time rig activity than the other two, it also relies on later cycle capital sales of drilling motors, fishing tools, MWD equipment, solids control equipment and other tools that are subject to destocking and restocking dynamics. Drill pipe is a capital investment by drilling contractors and drill pipe sales by the Wellbore Technologies segment fell sharply in the fourth quarter at very high leverage. Our team continues to fight passionately and tirelessly to improve performance. We continue to cut costs. I'm proud that NOV was able to take out $700 million in fixed costs during 2020, but our poor fourth quarter results tell us that we must do more. As we enter 2021, we have identified another $75 million in annual cost reductions that we are executing on right now, and we expect the target to grow as we progress through the year. We continue to focus on cash flow. Fourth quarter cash flow from operations was $186 million and free cash flow was $133 million. For the year, NOV generated cash flow from operations of $926 million and reduced our net debt by almost $700 million. We completed the year with a very strong balance sheet, only $142 million in net debt, with our next major maturity not due until late 2029. Most importantly, we continued to invest in technology. Last quarter, I spoke to you about our organic R&D efforts, which are increasing operational efficiency, improving safety and reducing the environmental impact of our customers' oil and gas operations. We will be testing our Max digital platform with three E&P customers throughout 2021, all of whom are excited about its potential to drive improvements in their workflows. We will be testing our new low-cost rig floor robotics offering at our research rig later this quarter and we hope to have a commercial product available by year-end. Our new Ideal eFrac offering will be tested this quarter by a leading North American pressure pumper with one of their customers. They are seeing significant E&P interest in this technology's ability to reduce both costs and emissions. These are just three of dozens of new product and technology initiatives NOV has underway to support the critical work that our oil and gas customers do. We remain committed to developing and delivering solutions that provide the world with abundant reliable safe energy for the oil and gas that powers the world's global food supply chain, that powers 100% of its air travel and that helps lift humanity out of poverty. NOV is proud to support this critical industry as we have done 159 years. Like you, though, we see powerful social, political and economic momentum driving the growth of renewable energy, which will one day enable the world to transition to a net zero carbon future. I believe that this is perhaps the greatest economic opportunity of this century. Capitalism will lead to the innovation required to reveal the most efficient solutions and NOV intends to play a role. This morning, I'd like to share with you how NOV's competencies align with the emerging energy transition business opportunity and also eliminate a few things that we've been quietly working on for the past few years, ideas that I haven't commented on much publicly before. We want to show you how we're thinking about NOV's future in a world that is growing new sources of low carbon energy. First, we are experts in building large complex machinery with extreme precision that operates in harsh environments and we do this at scale in remote parts of the world. NOV employs bright, dedicated imaginative scientists and engineers who are conversant in material sciences, metallurgy, power systems, robotics and a host of other fields. In short, we have a fantastic team with whom to prosecute the business opportunities that are emerging. So, I ask a few to do that. A few years ago, some of our best and brightest began to explore the renewables landscape to find opportunities where NOV can make money. That team has been steadily growing since and I'm pleased with the ideas they are generating and the products that they are developing. First though, let me offer some perspectives on the opportunities. Most renewables technologies are not new. You may be surprised to learn that robust serious technical economic discussions about transitioning to new forms of energy actually began more than 40 years ago, following the Iranian hostage crisis and the second big oil shock of the 1970s. The economic vulnerability of the West during the Cold War, exposed by the tenfold increase in oil price throughout the 1970s, led to some serious hand wringing about diversifying away from oil, particularly foreign imports. Strikingly, the list of potential green energy sources from that era is essentially unchanged from today's list of candidates: wind, solar, geothermal, biomass, hydrogen and fusion. In the past four decades, all have seen their respective technologies progress incrementally and some have seen significant industrialization. So why then haven't we transitioned to something different yet? The reason is that all are at best imperfect substitutes for the status quo, at least for now, in all categories except greenhouse gas emissions. Solar and wind face intermittency challenges, land use issues and not-in-my-backyard political opposition. Hydrogen faces storage and transportation challenges from metallurgical hydrogen embrittlement. Biomass faces land use and efficiency challenges. Fusion continues to face technical challenges. And geothermal really only works in geologic hotspots with shallow magma. All face infrastructure hurdles. I bring these up only because NOV looks at these challenges and we see opportunities to develop solutions and thus competitive advantage. Our approach to renewables is to look at customer pain points like these and solve them. This is the framework that we are using to think about renewables opportunity. If NOV can solve bottlenecks, reduce project capital investment, improve uptime, reduce O&M costs, enable customers to access better resources, then NOV can foster the unrestrained embrace of renewables by free capitalists, thereby positioning itself to profit from this remarkable business opportunity and facilitating the global transition. Our most advanced business opportunities lie in solutions that improve the economics of wind power generation. In a few moments, I'll take you through our portfolio in this area. Before I do, though, I want to note that we are pursuing other areas where we see potential to add value as well, including solar, carbon capture, geothermal, biomass and hydrogen. Most of these are very early stage and years away from contributing meaningfully to our financial results, but I'm nonetheless optimistic about the potential contributions that they may one day make. I'll add, too, that these have been almost entirely organic thus far, built through existing business and infrastructure that make up our core oil and gas equipment business today. It's too early to tell which technologies will predominate and some will fail. So, we are engaging across several in a diversified portfolio approach. Most importantly, we are doing this to make money. Returns on capital are derived from competitive advantage. Therefore, our efforts are focused on creating competitive advantage in this space by cultivating renewable ideas with high growth potential that can be funded from our traditional oil and gas business, where we will also continue to press better products, services and technologies. That's the long-term plan. So, back to NOV's wind business. Today, our presence in the wind value chain, which stems from our roots in industrial lifting, marine vessel design and construction, is significant and growing. At ground level, the wind is impeded by topography and vegetation. At higher altitudes, wind tends to be more stable, more powerful and more consistent, a better-quality resource that improves at higher and higher altitudes. Taller towers access this better resource, as well as provide more space for largest area swept by the blades. Swept area is proportional to accessible energy and it grows exponentially with blade length, increasing torque applied to the generator in the hub, which also must grow larger to facilitate the additional power production. Therefore, taller towers, longer blades, larger turbines and bigger generators deliver significantly better economics to wind farm owners overall, at least to a point. So not surprisingly, tower hub heights has steadily increased and contributed to the competitiveness of wind on a levelized cost and energy basis. Taller towers are also expanding the geographic regions where wind power works beyond the so-called wind belt of the Great Plains in the United States, for instance. More on that in a moment. The constraint that wind farm developers begin to run into is the fact that towers become exponentially more expensive to construct and transport with height. In 2019, NOV invested in Keystone Tower Systems, a startup that has developed a patented tapered spiral welding process that enables the automated production of wind tower sections, which can significantly decrease production times and reduce cost by 50% or more. Additionally, the technology has the potential to be deployed for infield manufacturing operations, effectively eliminating many of the severe logistical limitations of transporting larger diameter tower sections over the road. Keystone is currently completing construction of its first commercial line within NOV's Pampa, Texas facility and has an order for 100 tower sections from a major wind turbine manufacturer. Upon completion, it will have the capacity to deliver hundreds of towers annually. Another challenge of the taller towers trend is developing cost-effective safe methods of tower erection. Current predominant construction methods using crawler cranes are quickly reaching their limits for safe and efficient use as wind towers increase in height and weight. NOV's system concept, which is built upon the intellectual property control systems and experience developed during the design of mobile desert and arctic drilling rigs, utilizes a tower crane in conjunction with a unique mobility system to provide superior lifting characteristics at taller heights to significantly improve the safety, reliability efficiency of tall wind tower installation techniques. Such methods are expected to also help reduce the ongoing operating and maintenance costs associated with these assets over their 20-plus year lives, further improving project economics for wind farm operators. The U.S. wind belt runs from North Dakota, south to West Texas and is defined by the region of the country where the wind resource blows hardest and steadiest, allowing turbines to achieve the highest levels of utilization and electricity output. But this picture changes as towers grow taller and the region of economically viable wind resource grows. It is conceivable to us that the wind belt area could double or triple as NOV and Keystone Technologies enable towers to grow taller, economically and consequently enable power production closer to prime power consumption markets, thereby lowering transmission costs and total capital investment. Frankly, we are excited about the growth potential here. However, all onshore wind farms require a lot of land and sometimes make their neighbors unhappy by spoiling the view, which leads us to offshore wind. Generally, offshore wind has several advantages over land: higher capacity factors due to generally steadier wind regimes, the ability to use larger turbines without facing the limitations of over-the-road transportation and an abundance of locations with less not-in-my-backyard political opposition. This has led the Global Wind Energy Council to forecast 26% compound annual growth rate for the offshore wind space through this decade. Considering nearly 40% of the world's population, 2.5 billion people live and consume power within 60 miles of the coast -- this makes sense. However, similar to offshore oil and gas, offshore wind developments also carry increased complexity, higher execution risk and incremental costs that can challenge project economics. Again, we view these challenges as opportunities to draw upon NOV's unique offshore expertise and provide value to a burgeoning customer base. NOV has long been a leader in offshore wind construction vessels, on which we can sell as much as $80 million out of equipment. In fact, the majority of the world's 30 gigawatts of installed offshore power generation capacity was put in place with NOV-designed vessels and NOV-supplied equipment. We are presently executing on the construction or upgrade of a half-dozen wind turbine installation vessels and expect demand to continue due to the growing height of offshore towers for the same reasons that I explained moments ago. NOV's proprietary telescoping cranes, jacking systems and deck equipment are all contributing to lower installation costs and better economics for offshore wind farm developers. We landed a contract for the first Jones Act-compliant vessel in the fourth quarter and we have several conversations underway with offshore construction firms for additional capacity globally. By year-end, I expect that our business in this area will have doubled to more than $200 million annually, and further growth prospects are excellent as the 9.6 gigawatts of offshore wind capacity to be installed in 2021 is forecast to more than double by 2025 to more than 21 gigawatts. In order to meet these projections, the world will need to build two to three dozen more installation vessels, capable of installing the new leading-edge 12-megawatt to 15-megawatt towers with 500-foot hub heights over the next decade or so, according to forecast from Clarksons. NOV is also pursuing opportunities in the floating offshore wind space, which will require the cranes, winches, mooring systems, cable-laid ballasting systems, chain connections and tensioners that we design and provide. NOV has developed a patent-pending Tri-Floater semi-submersible floating wind foundation, designed to require less steel than competing offerings that should allow for full key side construction in turbine installation. We are engaged in a paid design study now utilizing this proprietary floating wind design for a customer in Asia. With revenue potential north of $25 million per vessel and dozens of vessels required to develop a single gigawatt project, NOV's total addressable market in this area is potentially in the billions. So, to summarize our wind initiatives, NOV is positioning itself as a value-added partner, capable of meaningfully reducing project execution risk and overall capital costs. We have a large and growing base of installed capacity in the fixed offshore wind installation vessel market, which we expect to exceed $200 million annually in revenue for us by year-end, along with an ongoing aftermarket opportunity. Our Keystone team secured an order for 100 towers based on its proprietary technology that we are constructing in our plant in Texas. And NOV's proprietary floating wind technology is under consideration by multiple prospective customers globally, potentially opening up a massive new market in countries lacking expansive shallow waters available for wind development. Suffice to say, I'm very optimistic about the opportunity set in the wind area. Returning to our traditional oil and gas business, despite the near-term challenges we face, I'm growing more optimistic about 2021. As COVID-19 vaccines proliferate, I expect lockdowns and economic disruptions to subside and a more normalized level of demand for oil and gas to return. Only then will we realize the true impact of the massive dismantlement that the petroleum industry has undergone: the lack of major project FIDs, the diminishment of quick-turn shale productive capacity, increased governmental restrictions on shale development, the lack of offshore exploration, the evaporation of capital for a highly capital-intensive industry, the effect of massive amounts of stimulus and explosive growth in mine supplies on commodity prices. I don't recall a time in my professional career that saw more bullish fundamentals. It will be interesting, despite our most noble, aggressive, aspirational energy transition scenarios, petroleum remains critical to our way of life, from air travel to feeding mankind. The oil and gas industry will be called upon again to grow. So, there is light at the end of the COVID tunnel. The positive financial results reported by some of our larger customers this quarter serve as an early positive signal that conditions should improve over the course of the year for our later cycle oil and gas businesses. We expect the back half of 2021 to begin to see improved demand and activity for NOV, which may well begin to grow just a little more frantic in 2022 and beyond. In the meantime, NOV remains committed to supporting our customer base around the world wherever and whenever it needs us. Our recent product introductions are evidence of that commitment. To NOV employees that may be listening, please note that the dual challenges of supporting our oil and gas customers while advancing new and creative solutions to provide lower carbon sources of energy will continue to demand your very best. I am proud and grateful that you've never given anything less. Thank you for all that you do. Jose, Blake and I look forward to scaling new heights and new opportunities with you. With that, I'll turn it over to Jose.
Jose Bayardo: Thank you, Clay. NOV's consolidated revenue fell $57 million or 4% sequentially to $1.33 billion during the fourth quarter of 2020. Our shorter cycle businesses capitalized on improving drilling activity levels in the U.S. to drive 4% revenue growth in North America, despite very light demand for capital equipment sales. International revenue declined 7%, reflecting the different trajectories of rig activity between the eastern and western hemispheres during the quarter. EBITDA for the fourth quarter was $17 million, or 1.3% of sales. Elevated decremental margins were the result of a less favorable product mix; customer order deferrals, which compounded manufacturing absorption challenges and higher expenses associated with pension accounting, environmental accruals and workmen's compensation. While we exceeded our $700 million cost-out initiative target in the third quarter of 2020, our efforts to right-size and improve the efficiencies of the organization continued during the fourth quarter. As Clay mentioned, we've identified and are executing on $75 million in additional cost savings initiatives that we expect to complete by year-end 2021, and we expect our target will grow. During the fourth quarter, we generated $186 million in cash flow from operations and $133 million in free cash flow. We ended the year with approximately $1.69 billion in cash and $1.83 billion in gross debt, resulting in a net debt balance of only $142 million, down $676 million year-over-year. For the full year, cash flow from operations was $926 million and free cash flow totaled $700 million. The organization's focus on reducing costs, improving capital efficiency and optimizing cash flow allowed us to reduce net debt by 83% during 2020, further improving what was already a rock-solid balance sheet. For 2021, we expect to report capital expenditures of approximately $215 million with $82 million of that amount related to completing our rig manufacturing facility in Saudi Arabia. Factoring in the 30% that will be funded by our JV partner, net CapEx will total $190 million. Our Wellbore Technologies segment generated revenue of $373 million in the fourth quarter, an increase of $12 million or 3% sequentially. Despite the top line growth, EBITDA fell to $12 million or 3.2% of sales, primarily due to an unfavorable shift in product mix and COVID-19-induced shipping cost overruns and delays. As Clay highlighted, offerings from this segment are more short-cycled than our other more capital equipment-oriented segments, but it is still a product business that is affected by the ongoing destocking of customer inventories. Nevertheless, we believe Wellbore Technologies hit a cyclical low during the third quarter of 2020 and we expect steady improvement for the segment as 2021 progresses. Our Grant Prideco drill pipe business realized a 24% sequential decline in revenue with very high decremental margins. Lower volumes, a significant decrease in proportion of higher-margin large-diameter pipe and extra costs associated with shipping delays in Asia more than offset the unit's cost reduction efforts, which included reducing its workforce by approximately 25% during the first week of the quarter. Orders improved 84% off the all-time low level realized in the third quarter, but were less than half the level achieved in Q4 of 2019. While orders remain light, slightly higher volumes and a more favorable product mix should drive improved results during the first quarter. Our Tuboscope, pipe coating and inspection business realized a 7% sequential improvement in revenue, led by a 28% increase in our activity from the OCTG market. The revenue growth was partially offset by declines in higher-margin drill pipe coating and Thru-Kote sleeve sales, resulting in a decrease in EBITDA. We expect higher volumes from improving backlogs and cost controls to drive improved performance from Tuboscope in the first quarter. Our downhole tools business saw a 5% sequential increase in revenue, driven by the improving North American rig count, which was partially offset by lower activity in the eastern hemisphere. The business realized strong incremental margins from improved absorption and increasing adoption of our proprietary technologies that meaningfully improve operational efficiencies and lower costs for our customers. During the fourth quarter, we saw a significant increase in the number of runs completed by our SelectShift downhole adjustable motor, which now incorporates our latest ERT power section, allowing for up to 1,000 horsepower to be delivered to the drill bit, further enhancing the motor's ability to drill single run horizontal wells. We're also seeing greater customer adoption of our Agitator friction reduction tools in the international markets and in operations using rotary steerable systems. A major national oil company in the Middle East recently completed a 12.25 inch directional section using our Agitator tool, resulting in 38% improvement in the rate of penetration relative to nearby offsets. Also, a U.S. operator made our agitator a standard component in the rotary steerable bottom-hole assemblies after recognizing the clear performance improvements in curve and lateral sections within their wells in the Haynesville-shale. Our ReedHycalog drill business posted a modest sequential improvement in results with strong growth in North America that was partially offset by declines in international markets. While the international rig count continued to search for bottom during the fourth quarter, and projects continue to push to the right, recent customer dialogue has us more optimistic that tenders will advance during the first quarter creating better prospects for international operations as we advance through 2021. Our WellSite Services business generated 17% sequential growth in revenue during the fourth quarter on the meaningful improvement of drilling activity levels across the western hemisphere. EBITDA flow through was limited by declines in higher margin work in the Middle East and offshore markets, price competition and COVID-19 related logistical and supply chain-challenges which impacted personnel movement, and deliveries of capital equipment. Despite these headwinds, we are seeing international tenders advanced and increasing absorption of excess industry capacity which we expect will drive improving market conditions in the second half of 2021. Lastly, our MD Totco business realized high-teens revenue growth during the fourth quarter due to improving demand for the business units, rig instrumentation, and data acquisition systems, and increasing adoption of MD Totco's KAIZEN artificial intelligence drilling optimization application, and evolve closed loop automated drilling systems. Based on dialogue with our customers, we expect the pace for North American activity growth to moderate in the first quarter Q1, then level off around mid-year. Activity in eastern hemisphere should stabilize but remain sluggish through the first half of the year as operators finalize budgets and work to complete project tenders which will set the stage for improved international activity in the second half. For the first quarter of 2021 we expect revenue in our Wellbore Technology segment will increase in the upper single digit percentage range. We also expect an improved mix in product sales and cost controls to result in EBITDA margins, expanding approximately 200 basis points to 400 basis points. Our completion and production solutions segment generated $546 million in revenue during the fourth quarter, a decrease of $55 million or 9% sequentially. On our last call, we mentioned that then current customer conversations and early Q4 bookings gave us confidence that orders would likely improve from the low levels witnessed in the third quarter. While orders did improve 27% sequentially to $215 million, the resurgence of COVID-19 through the quarter reduced customer conviction, slowed order intake, and led to the segment's fourth straight quarter with a book-to-bill below one. Further deterioration of the segments backlog created additional absorption challenges and a less favorable product mix resulting in EBITDA to decline $35 million to $28 million or 5.1% of sales. While we expect order intake to remain sluggish in the early part of 2021, customer conversations have resumed with improved pace and tone, giving us optimism for a much improved order outlook starting mid-2021.  Our Subsea Flexible Pipe business saw a revenue decline of 11% sequentially, with high detrimental margins. Low utilization levels across the industry's manufacturing capacity have resulted in absorption challenges and pricing pressure. While we expect orders to remain light in the first quarter, we believe a number of significant Project FIBs will move forward in the first half of 2021 creating opportunities for sizeable bookings in the second half of the year. Our Process and Flow Technologies business experienced a 4% sequential revenue decline, primarily due to deterioration in the backlog of our APL turret loading offerings, which is facing similar challenges to what I just described in our Subsea business. Our more land-oriented production and midstream operation saw small improvements in demand of very low levels in North America, Argentina and the Middle East. Well demand for our production midstream offerings appears to have bottomed in Q3, some customers continue to work through excess stocks of inventory which should run it's course in the first half of 2021, and lead to a more constructive operating environment in the second half of the year. Our fiberglass systems business saw revenue decline approximately 19% sequentially due to customers that continue to defer deliveries for offshore scrubbers and limited demand for midstream infrastructure which has depleted our backlog for large diameter high pressure pipe. The unit realized outsized EBITDA decrementals due in part to ongoing COVID-19 related disruptions in the Southeast Asia, and an increase in epoxy and glass prices from suppliers who were extracting better economics before agreeing to reopen plants that were shuttered in the early phase of the pandemic. We expect oilfield orders in North America to remain limited for much of 2021 but the projects in the Middle East that should advance by mid-year, and we continue to see growing demand for fuel handling offerings. As a result, we expect our fiberglass business would bottom in the first quarter, and realize stronger demand in the second half of 2021. Our Intervention & Stimulation Equipment business realized 9% sequential decline in the fourth quarter, and increase in deliveries of coiled tubing equipment in international markets was more than offset by limited demand for completion equipment in North America. While we anticipate that demand for new build completions equipment in North America will remain limited over the next several quarters, we're beginning to see green shoots in our aftermarket related offerings. In Q4, we realized our second quarter in a row of improving demand for replacement coiled tubing strings, and we are engaging in a steadily increasing number of conversations with customers looking to refurbish or upgrade pressure-pumping equipment from tier 2 to tier 4 motors with dual fuel capabilities. We recently received an order from a customer to refurbish 35 pressure-pumping units. Additionally, as Clay mentioned, we're seeing growing interest in our recently introduced ideal e-frac fleet and for our FracMaxx articulating flowline and QuickLatch systems, which increased efficiencies and reduce costs of pressure-pumping operations. Lastly, we remain encouraged by the future potential demand for our completion equipment in international markets as the use of multi-stage stimulation services continues to grow outside North America. For the first quarter of 2021, we anticipate revenue from our Completion & Production Solutions segment will decline 6% to 10% sequentially, with decremental margins in the mid-30% range. Our Rig Technology segment generated revenues of $437 million in the fourth quarter, a decrease of $12 million or 3% sequentially. Revenue from capital equipment sales declined 7%, partially offset by an increase in after-market services. EBITDA declined to $19 million or 4.3% of sales. Outside of decremental margins were the result of a less favorable sales mix for both, capital-equipment and after-market operations, where sales of higher margin spare parts declined and revenues from lower margin service work increased. Additionally, the segment incurred extra expenses associated with the logistical challenges of moving 200 service technicians, and associated equipment across numerous international borders during a second round of pandemic-related restrictions. Orders for the segment increased $133 million sequentially off the all-time low realized in the Q3 to $190 million, yielding a book-to-bill of 105%. Orders from the offshore wind market dominated the order book, which included an award for the design and jacking system for the first U.S. Bill Jones Act compliant offshore wind turbine installation vessel, and an order to upgrade existing -- an existing vessel to enable it to handle the heavier weights of the next-generation of offshore wind turbines. Additionally, subsequent to quarter-end, we received another order for the design jacking system in cranes for a Europe-based wind turbine installation vessel. As Clay highlighted, the opportunity for our wind business is meaningful and the outlook is promising. While orders for rig equipment remained sluggish and capital availability remains constrained among our drilling contractor customers, they're still eager to upgrade the capabilities of their fleets. We continue to have discussions regarding new build rigs with customers in the Middle East, Latin America, and Asia; and in Q4, we received an order from a customer in the Middle East for two 1000 horsepower land rigs, fully equipped with automated pipe handling systems, NOVOS drilling automation, and our Maestro Power Management System. In North America, we do not see near-term opportunities for new build rigs outside of niche applications; however, we continue to have active dialogue with customers regarding upgrades to both, hardware and digital solutions. We see strong interest in the rig for robotics that we have under development, and we're seeing holdouts that up until now have resisted upgrading to our NOVOS process automation platform come to us saying that their customers are demanding the capabilities that NOVOS provides.  Similarly, in the offshore space, we do not expect many newbuilds but we continue to see an increasing rate of adoption for our digital subscription solutions, including the NOVOS platform, condition monitoring, remote support, and automation lifecycle management. More importantly, our offshore drilling contractor customers, several of whom are emerging from the restructuring processes with cleaner balance sheets are growing more optimistic that offshore activity is at or near the bottom, and we're actively working with them to prepare for reactivations and upgrades. While customer enquiries have increased since year-end, and we're optimistic that offshore activity will improve in the second half of the year, for the first quarter of 2021 we expect results for Rig Technologies to be in line with the fourth quarter. With that, we'll now open the call up to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Sean Meakim with JPMorgan. Your line is now open.
Sean Meakim: Thank you. Hey, good morning. So thank you for all the commentary around your efforts towards pivoting the business; very thoughtful as always. I was thinking maybe you could just expand the discussion a little bit, and share your thoughts around new energy markets. And I'm thinking in terms of a matrix; so on the one axis you would have NOV's ability to map its existing expertise to some of these markets. And then on the other would be the size of those addressable markets based on those capabilities. So, I think you addressed that really well within wind, and that seems to be really -- kind of in the sweet spot in that matrix. Can we just get like your initial thoughts, that kind of where you're head is today around hydrogen, which, of course, has a pretty wide rainbow, carbon capture, even geothermal; because I'd love to hear kind of where your head is on those areas under that framework?
Clay Williams: It's a great question, Sean. The first part of that, I think we can answer very specifically, which is with respect to our skill sets and how that fits sort of the opportunities that are emerging. The second in terms of total addressable market, this is all very early days; suffice to say though, they're all big, right. So the tens of trillions of dollars that are required to power the world with whatever we power the world with, of capital sort of investment; that's kind of what's at stake as we sort through the options for economies moving towards a lower carbon future. So they're all very big numbers which makes it really interesting. But what I really like about our starting point is that so many of our skill sets fit this; and I think I did cover that with respect to when -- I will tell you that we are looking at other areas in biogas, hydrogen, carbon capture and sequestration, geothermal -- we're already in the geothermal market like a lot of oilfield service companies are with respect to bits, we've actually developed -- I think a year or two ago developed new fiberglass lined tubular products for that market, and have sales into Europe and a few other places with that; so we're already there as are many. But what's really interesting, you look at things like carbon capture; our gas processing well-stream business which is part of our completion and production solutions group has deep expertise in the dehydrating gas streams, and CO2 needs to be dehydrated, in fact, we're working with one of the majors on a project now in that area to bring that particular expertise. We've also advanced discussions with other participants in that space with respect to solvents, membranes, others to sort of continue to kind of build out opportunities there. And then in the hydrogen space, you know, things like composite pipe systems we’re the largest provider of fiberglass and composite pipes globally to the oilfield. And composite piping systems maybe a key solution with respect to avoiding hydrogen embrittlement of steel when transporting hydrogen. We've got technologies in ammonia storage that may come to play; we think ammonia may play a key role in transporting hydrogen globally as that ecosystem were to build itself out. So, we're currently exploring all this stuff, and I look forward to speaking to you in more detail in the future. All are interesting, I think all are additional growth opportunities and avenues for NOV; I do want to stress though, you know, this is less pivoting than it is cultivating a new source of revenue for NOV. We will continue to support oil and gas, oil and gas will remain critical, even the most aspirational sort of scenarios laid out by the IAEA; oil and gas continues just to play a major role because there is just no substitute for it in many areas of the economy. So, I'm very encouraged by the opportunities to both continue to advance our traditional oil and gas business, but as well as I noted in my prepared remarks, renewables is very exciting with respect to the -- how NOV can help provide solutions, make these sources of energy better, more capital efficient, cleaner, safer, more efficient, and all the above.
Operator: Thank you. Our next question comes from James West with Evercore ISI. Your line is now open.
James West: Hey, good morning guys. Clay, I appreciate your commentary around renewables. I want to dig in a little more on the offshore wind side because that's where I see a clear expertise that you provide, given all the technologies you have around offshore rigs, and the management of those rigs. And so, I'm curious to understand kind of -- where -- what you're seeing in that market right now? What the competitive environment looks like? Who the incumbents are if really, any? And I appreciate you gave some numbers around what do you think win could be later on this year but it seems like that market could be -- call it five years out; much, much larger for you guys in terms of the opportunity set, and they are really just getting started here?
Clay Williams: Yes. James, you've been in oilfield services for enough years to get it when I say that NOV is the NOV of the offshore wind installation vessel space. The majority of equipment out there is ours, we do have a lot of expertise, a lot of proprietary designs, we're -- I'm very proud that we're sort of the go-to-name when it comes to this level of expertise. It's not to say we don't have competitors, we do, but the majority of the fleet out there that has installed the world's existing offshore wind capabilities was installed using our technology; so proud of that, continuing to invest in that, continuing to advance that, and very excited about that. And you know, in the prepared remarks talked about the role that taller towers, larger turbines will play in driving better economic efficiencies. And so what that space has specifically pointed out or advancements by the turbine manufacturers, specifically 12 megawatt system at -- which is the size of a 50-storey building, which is due on 2022. And then, another -- one of the providers has a 14 megawatt tower that they're coming out with in 2024. And so, there are just very few vessels that are big enough to install those things, and with a lot of incoming, the world needs a bigger fleet. And we're pleased to play a role in it. So in -- but in addition to that, as I mentioned, the floating wind opportunity is getting really interesting as well. We had a lot of expertise with our Gusto Group around designing holes to fit those size turbines, while also sort of minimizing size and cost and steel. And so very pleased with how that's developing, and that's different in that rather than building the tools to install the equipment, we can be in position actually building the holes and the equipment; each unit going into some of these wind developments.
James West: Right. I totally agree. I think it's a huge opportunity. Is there any targets? How much R&D in capital do you think is associated with this opportunity? If really any you may already have all the capacity in the R&D you need.
Clay Williams: Yes, it's really ongoing. I mean, we'd a fantastic, we’re a leader with respect to offshore construction cranes, and lifting technologies, and have been for decades, and so -- so this is sort of continuing what we do. And as you point out, it fits very well the needs of the offshore wind developers, both fixed, as well as floating. Our experience in shipyards, our experience constructing large vessels, working at height, applying technologies, you know, it's a really good fit with our skillset.
James West: Right. Got it. Thanks, Clay.
Clay Williams: You bet. Thank you.
Operator: Thank you. Our next question comes from George O'Leary with TP & Company. Your line is open.
George O'Leary: Good morning, guys. The sticking on the line of wind, curious -- I think you guys said exiting the year you expect kind of the revenue run rate from all things wind for NOV to be somewhere in the $200 million ballpark? I'm thinking about the fact that the kit that you guys said you'll supply to the wind, at least the wind installation vessel side of the equation $50 million to $100 million per vessel ballpark; so should we think about that as like three to four vessels a year by the end of this year is kind of the run rate, and then growth from there or would you frame that any differently?
Clay Williams: That's obviously oversimplifying it a bit, but in terms of shorthand, what I would tell you; these vessels take a couple of years to construct, right. And if we sell everything that we can into a fixed wind installation vessel, that's $80 million ticket for us, that would flow out over a couple of years. So, you know, this will -- we've been building our backlog, it's continued to grow in this space. And our expectation is that we have sort of line of sight around a healthy level of constructing a fleet that's required to install this capacity over the next few years is what we see. Does that make sense?
George O'Leary: Yes, that's super helpful color. If you leave us [indiscernible] to our own devices, we will just simplify things incorrectly.
Clay Williams: And that's what I worry about.
George O'Leary: Understandable. One of your peers noted that -- I think they said they see their offshore activity or revenues up 15% year-over-year, and we're more in the like 5% to 7% ballpark based on what we can see. You mentioned second half of the year, maybe some offshore momentums, international activity starts to pick up; so just trying to square the circle there. Any way you can quantify the increase in offshore activity that you guys see on the horizon?
Clay Williams: No, not precisely. I can't speak to their comments but what I would tell you is sort of framing our view of the second half of the year and why we're becoming more optimistic is; look, it's no secret, the biggest challenge and factor that all of us have been dealing with is COVID. And as we sort of lookout as to what 2020 has in store, our view is really shaped in large part by the macro. The fact that economic activity still remains very low with COVID lockdowns, the fact that oil inventories have been declining now for several months is -- I think very telling. And as we now see vaccines on the horizon, as we move into the summer which I think typically sees fewer cases, we foresee sort of COVID lockdowns diminishing and economic activity returning and crude demand is going to accelerate. And through this COVID lockdown, a lot of our international offshore customers have been very, very sluggish on placing orders; we're continuing to quote a lot, bid a lot, and have a lot of feed studies underway. But the orders had been slow in coming, and so what we foresee is, as we move through the summer, the pandemic lockdown gets behind us. I think OPEC is going to be called upon to throttle back their cuts to sort of meet rising demand but we're going to pop out of all of that with supply demand and balance, we're going to need more supply as demand comes roaring back. You add to that, all the stimulus that's been pumped out by governments, the massive growth in money supply, and I think we're headed towards a global synchronized economic recovery that's going to be pretty strong. And one that will likely see a lot of inflation, the money supply is going to show up in commodities, including oil. In fact, we're already seeing double digit sort of price increases in steel and resin, price increases with freight. And so as we all kind of go back to work, as our oil company customers go back to work, I think they're going to be looking at the need to move forward and maybe move forward quickly with FIDs in the offshore. And so that's kind of from a macro level frames of what we see, how we see 2021 developing that the offshore FIDs begin to accelerate that -- that we learned kind of all the records that I've described earlier, the dismantlement of the oil and gas industry, the lack of investment, the lack of exploration, the lack of FIDs; it's going to catch up to us as the economy returns back to normal.
George O'Leary: Great, thanks very much for the color, guys.
Clay Williams: Thank you, George.
Operator: Thank you. Our next question comes from Chris Boyd [ph] with Wells Fargo. Your line is now open.
Unidentified Analyst: Thanks. Good morning. Regarding the $75 million of additional cost reductions, can you give maybe more specific color on which segments and the timing? And is there any read-through based on the outlook that you laid out on where EBITDA margins could get to by late 2021?
Clay Williams: Yes. What I want to put this in perspective, we've been reducing costs since 2015. The $700 million plus that we refer to, we really kicked off in in early 2019, we begin to face some headwinds. And so I want to stress that we continue to downsize, and in 2021 we're doing that as well. And thus far we had line of sight on $75 million but these are some pretty major, frankly, difficult, challenging steps that we're undertaking now, to continue to improve our cost position and they tend to be a little lumpy. They are going to flow out throughout the year, we've announced for instance, the closure of a major facility and former headquarters of the company, very painful and difficult but so it'll -- it's kind of kind of vary quarter-by-quarter, and I would tell you all three segments, as well as corporate, remain focused on reducing cost to try to navigate through this.
Unidentified Analyst: Okay, that's helpful. Thanks. And then can you touch on -- well, I guess I'll skip over that. Maybe switching to the eFrac commentary that you had on the call. I think there's been a lot of interest. Are orders picking up and do you have a view on how much it might grow in 2021, or 2022, as a percentage of the fleet in North America?
Clay Williams: Yes, it's a really interesting space. It's not a lost on us that a lot of pressure pumpers are challenged with respect to raising capital. But nevertheless, we see a lot of interest in this. We've worked very closely with one of the largest pressure pumpers in North America who's very excited about it. I think that interest really stems from what they're hearing from their customers. The EMP companies know that they need to reduce their greenhouse gas emission profile -- frac jobs are an obvious area to target and so I think that they are leaning on their service providers to think through how to do that. And that's leaning both to interest in dual fuel Tier 4 capabilities, as well as kind of the next generation, which is the efrac offering that that we're pioneering presently. But I think I mentioned that our pressure pumper customers testing it with one of their EMP customers and also reports a lot of interest from other EMP customers. But the promise here is really very intriguing. Much lower total cost of ownership, we built ours around a 5,000 horsepower, pumping system that has less volume per stroke. And so that lowers O&M costs a third or more for the owner of the equipment, it lowers the diesel cost that can run a million bucks a month or more to support fracking operations that moves into your truckloads, calls for a smaller footprint. So you can save money on the pad construction, you make your neighbors happy because you cut down on traffic. But most importantly, 60% or more lower CO2 emissions out of this. So, this is really, really promising and we're very excited and pleased. And I think it represents another good opportunity for NOV.
Unidentified Analyst: Great, thanks to the color.
Clay Williams: You Bet.
Operator: Thank you. Our next question comes from Chase Mulvehill of Bank of America. Your line is now open.
Chase Mulvehill: Hey. Thanks for squeezing me in here. I guess first thing I kind of wanted to ask about was Q4 in first quarter, obviously, a little weak. Got here in Q4 as weak, but could you maybe try to quantify how much is really kind of directly related to COVID issues, whether it's logistics, certain types of restrictions and things like that, so we can kind of understand kind of what's impacting kind of near-term numbers.
Clay Williams: Yes, it's hard to put a precise number on -- what I would tell you was 72% of our business on a consolidated basis coming from international markets, the general sluggishness in international markets has slowed our customers' plans. We are specific examples of offshore spuds, for instance, being delayed because managing COVID on an offshore rig is very, very challenging. We hear specific examples of our customers are just sort of slow playing approval of projects. Sluggish is the best word to describe it with respect to orders. And so on the top line, I think it really affects us. But as Jose noted, too, a lot of our businesses rely on service technicians that cross an international border every other day to take care of our customers out in the field and it continues to be very disruptive. It shows up and things like supply chains where we're afraid, containers are delayed, where were shipped cost of shipping is going up -- COVID still continues to impact the operations. Our own internal operations as well the operations of our customers as in view, it's clearly taking a toll.
Chase Mulvehill: All right. The follow up, you guys have been talking about pruning your portfolio, divesting some businesses. I would imagine COVID probably, makes it a little bit more difficult to do that. So just kind of update us where you are there and how you're thinking about M&A on a go-forward basis, specifically, as you think about better positioning the company for energy transition.
Clay Williams: Yes. Well first is you've seen, Chase, the cost of capital in the renewable space continues to fall, which inflates asset values and so in terms of M&A in this space, it just feels very expensive to us. That doesn't bother me because we've made so much great progress organically. And frankly, my view is it's not to say we won't find a really interesting acquisition opportunity, but a lot of really smart people here with clever ideas. And so, as you've kind of heard earlier we're looking at this area and making real progress in terms of solving customer pain points. And so that's been our approach in the renewable space. With respect to divestitures, again, the whole COVID specter over the past year, has removed a lot of animal spirits with respect to a few things that we might have entertained selling, and that has slowed the process in terms of divestitures. But we continue to look at the returns across our portfolio businesses, both current snapshot returns, but most importantly, kind of growth prospects and what kind of normalized returns are. I would continue to try to be disciplined around that, but you're better management of working capital and being attuned to returns on capital on behalf of shareholders is something that we take very seriously. And I think we continue to continue to focus on.
Chase Mulvehill: It's perfect. I'll turn it back over. Thanks, Clay.
Clay Williams: Thank you, Chase.
Operator: Thank you. This concludes our question-and-answer session, I would now like to turn the call back over to Clay Williams for closing remarks.
Clay Williams: Thanks, Joelle. Many thanks to all the employees in particular that are listening. I really appreciate the great effort that you're doing on extraordinary circumstances to take care of our customers and each other. And so, appreciate all that you continue to do. And I do think that we are all going to see better opportunities emerge in 2021 getting the COVID behind us and looking forward to continuing to serve our customers in both oil and gas space in the renewables space. Also, thanks to all of you for joining us today. We look forward to speaking to you all again in April about our first quarter results.
Operator: Ladies and gentlemen, this concludes today's conference calls. Thank you for participating You may now disconnect.